Julián Díaz: Good afternoon and thank you for participating in our Q1 Results Call. Presenting the results here today are myself Julián Díaz, CEO and Yves Gerster for the first time new CFO. As in previous calls, we're going to use the presentation disclosed today on our website. Let's move to Slide number 3, you can see the topics for today's call. I will first review our operations performance in the preview than Yves will first presentation implications of IFRS 16 implementation done as of January, 2019 and also present the KPIs which we have aligned with IFRS 16 and that which will be in use going forward. He will then continue with the presentation of Q1, 2019 financials to conclude I will return for operational data and performance so far in 2019. Let's continue with Slide number 5, as a preliminary remark to this first quarter results which saw a positive start into 2019 business year and an organic growth of 2%. I would like to remind that we have been implemented for the first time this year, the IFRS 16 accounting standard which impacts both our balance sheet and P&L and thus reduces the comparability with related previous year periods. However, it is very important to note that IFRS 16 will not impact our economic performance and will not change our strategy and the way we run our business. Continuing with Slide number 6, with the highlights Q1. Dufry delivered in 2019 first quarter a turnover growth of 3.4% reaching CHF 1,882 million to which organic growth contributed 2% despite the shift of Easter holidays in the second quarter excluding Brazil and South America organic growth increased by 5.6%. We also continue to span of gross profit margin which grew by 40 basis points reaching 60.3% compared with 59.9% previous year. The following two KPIs are new and have been introduced in the contest of the first-time implementation of IFRS 16 as 1 January, 2019 thus not comparable to previous year. The impact of IFRS 16 implementation and the details of the new KPIs adjusted [ph] will be explained by our CFO, Yves Gerster. The first new KPI is adjusted operating profit which reached CHF 46 million in the first quarter 2019 and the second, is adjusted net profit which amounted to minus CHF 8.9 million as you know Dufry's business has always had a pronounce seasonality for cash flow and profit generation during Q1. In the first quarter 2019 our adjusted operating free cash flow reached CHF 159.3 million compared with CHF 164.7 million in 2019. And the equity free cash flow came at minus CHF 123 million compared with CHF 103 million in 2018. As mentioned the first and fourth quarter are the less important for cash generation. Let's move now to Slide 7, moving onto the operational development. We continue to grow our retail space by opening 9,100 square meters of retail space across 86 shops which include new shop openings and space increases in existing locations. We're also continuing to execute on our refurbishment plan with renewal of 14,400 square meters across 27 locations. At the end of March, we have already a portfolio of 18,800 of signed contracts to be opened along 2019 and beginning 2020. I would like also to mention the new organization which we announced it in mid-January 2019 everything is now in place and we created the new division Europe and Africa by combining the former division UK and Central Europe with Southern Europe and Africa. This would allow us to accelerate our customer focus and the commercial decision process. In order to be closer to the market by consolidating the collaboration of two institutions or line of managing the commercial side the global platforms and the commercial departments in the divisions. I would also like to confirm the continuation of the dividend policy in this first Q1. Our shareholders have approved it the dividend payment of CHF 4.00 per share at the AGM held last week. As compared with last year, the dividend has increased by 6.7%. We move now to Slide 8, we would comment on the organic growth. We have continued to improve in positive territory with turnover trends in the fourth quarter of 2018. Organic growth reached 2% and so a positive development of all divisions. If that's for South America where the situation in Brazil and Argentina remaining challenging especially we're talking about countries where Argentineans and Brazilians are the important ones in South America. Excluding South America, the group organic growth reached 5.6% increase. As you can see in the bottom chart Europe and Africa have further improved by doubling their performance as compared with last year. Asia Pacific and Middle East have continued with double-digit growth on top of the double-digit growth last year despite obviously the high comparable and as mentioned South America remains challenging both because change in the economic environment and the high comparable that this region reached last year. If we move to Slide 9, we'll comment division-by-division. Organic growth in division Europe and Africa improved by 2.4% with doubles the performance in Q1, 2019. This has been driven by first positive contribution from the UK in general so by its new [indiscernible] business and second by an improvement seen in the Spain where we have implemented several commercial initiatives announced during 2018 and third, by the good performance in several other countries such as Turkey, Italy and most of African operations. In Slide number 10, division Asia Pacific and Middle East. We are reporting an ongoing high double-digit growth of 17.3% by this - obviously duty - free new concession MTR that I announced at couple of times last year and also the new duty - free shop at 1st, April. Within this division Eastern Europe reported a single-digit organic growth. The Middle East show a slightly lower performance due to the high comparables of the previous year while Asia as a whole so with a good performance with positive contribution coming also from Cambodia, China and Indonesia besides obviously the aforementioned performance of Hong Kong and Australia. In Slide number 11, North America delivered a resilient performance which improved to 5.3% as compared with the fourth quarter, 2018. But stayed below the Q1, 2018 where we have seen a high single-digit performance. The main factor here where the ongoing helped the performance of the duty - paid operations while we saw some of the duty - free locations being impacted by the lower spent of Chinese passengers especially in Canada. And we move to Slide 12, Central and South America. The overall performance of the division has remained at the same level of fourth quarter, 2018 reporting a negative organic growth of minus 10.8% and is still impacted by both the high comparables of the previous year and the change in economic environment. On the opposite, Central America has posted global performance mainly supported by our operations in Mexico and the Caribbean as well by the ongoing high double-digit growth of the cruise business supported by the start of operations on [indiscernible]. In Page number 13, I will now look the passenger growth. Both chart and table continue to show a very positive picture in these global performance in passenger numbers in the first quarter 2019 has continued with a healthy increase of 5.4%. As we can see from the outlook chart on the right also expectation continue at levels about 5% for the next two years. With respect to openings and closings, in Slide number 14. In the first quarter 2019 we have continued with our expansion of retail space by opening a total of 9,100 square meters of new retail space. The main highlights of the openings were four stores in Casablanca covering 430 square meters, a new shop in Helsinki, 310 square meters. Six new stores in China with a total of 330 square meters, 17 shops in Russia with 960 square meters of retail space, 14 shops across several locations in North America and a total surface 1,890 square meters and finally, 17 [ph] new stores on [indiscernible] new ships with shop space of 1,230 square meters. Looking at the refurbishments we have been quite [indiscernible] on the renovation of four operations as we have been renovating some important stores with considerable sizes in the first quarter 2019 for a total of 14,400 square meters. The most important one are listed here. These two areas of discussion growth retail space open and shops refurbished are really the basic key pillars for developing organic growth. We move to Page 15, talking about new space signed. Among the new space signed until March 2019 we have portfolio of 18,800 square meters to be opened during 2019 and 2020. The more relevant ones are as follows further expansion in our cruise division with operation in 16 new ships and new stores in St. Petersburg with over 900 square meters, 18 shops in Boston totaling 1,100 square meters, seven stores in Indianapolis with 600 square meters and three new stores in Nassau across 500 square meters. Moreover we have an important project pipeline 35,500 square meters we're currently obviously negotiating or participating in tenders. This potential opportunities are well distributed across several divisions such Europe and Africa, Asia Pacific, Middle East and Central and South America. If we move to Page 16, resolutions of the AGM on Slide 16, I would also like to give you a summary of some of the main resolutions approved by Shareholders Meeting on Annual General Meeting in 2019. First our shareholders have approved the cancellation of 3,304,541 shares both in the share buyback program. Please note that this cancellation has a total accretive effect of 6.5% and second the AGM has approved the payment of our dividend of CHF 4.00 increased from CHF 3.75 last year. The increase of 6.7% has been decided based on the strong equity free cash flow we have generated in 2019. It was also an important decision the appointment of our new member of the board, Mr. Luis Maroto, CEO in Amadeus that will contribute a significant knowhow about the travel market and the IT developed in the travel market over the past year [indiscernible] Amadeus. I will now pass the floor to our CFO, Yves Gerster for his comments on the implementation of IFRS 16 and the financial statements Q1, 2019.
Yves Gerster: Thank you Julián. Good afternoon. Before we get started, let me quickly introduce myself. I've been with Dufry for 13 years now in different positions within finance. Most recently as Director of Treasury and Shared Service Centers. I've taken over the CFO position from Andreas Schneiter on 1 April and I'm very pleased to be with you here today. Having said this, let's move on to Slide 18 and to introduction of IFRS 16. As you know we adopted IFRS 16 in January 2019. The new standard brings profound changes to our financials especially as part of the leases are now capitalized. As a consequence of the changes we've adopted the set of KPI's we use to measure the performance of the business. It is important to note, the new IFRS standard has now economic impact on Dufry. This is evidenced especially in our cash flow statement which remains largely unchanged. If we move to Slide 19, here summary of the main impact on our financials. The starting point is the balance sheet where Lease Liability and a Right of Use Asset are recognized. In the case of Dufry, only the fixed minimum annual guarantees are capitalized. In the income statement, we see the consequence of this concession fees which formally were part of selling expenses are now reflected in two separate lines: lease expenses which contain the valuable component of the concession expenses and depreciation of Right of Use Asset. As an additional effect, there's an interest charge on the lease liability. To the cash flow as already mentioned this remains largely unchanged. On Slide 20, as summary of some very important aspect you need to keep in mind. First, the amount capitalized on the balance sheet do not say anything about the quality or profitability of the concession portfolio. Contracts with very different economics and risk profile may have a similar impact on the balance sheet. Also Dufry seeking for long-term contracts. The second very important point is the so-called front loading effect. Due to the lease interest charge net earnings are affected negatively at the beginning of the contract and positively in the second half. Third important point, overtime the balances sheet position as well as the P&L will develop quite dynamically. Renewals and new contracts which contain fixed lease components will lead to additional capitalizations. As we will see later the amended KPIs were already signed to deal with this issue. Last but not at least, it's not too much to repeat that the new standard has no economic impact on the group. Let's move now to Slide 21 and explore our KPIs. As mentioned, we align our KPIs with IFRS 16. As an example, EBITDA is no longer a meaningful KPI anymore as it doesn't include all concession related expenses. On the next slide I'll guide you through the amended and new KPIs on a step-by-step basis. On Slide 22, we see our first KPI adjusted operating profit, our adjusted EBIT as you prefer. The only adjustment here is the PPA amortization. This should be a concept known to you as we always added this back to our profit. We like this KPI as it provides for a good operating profit metric using the current elements of the income statement. Moving to Slide number 23 next is adjusted net profit and adjusted earnings per share. we have done some additional adjustments due to IFRS 16 however still very close to the former KPI cash EPS. Moving to the Slide 24, the cash flow KPIs. As mentioned the impact of IFRS 16 on the cash flow is very small. Therefore the cash flow it came by far the best way to measure the performance of the business. This is a new KPI, as mentioned before in the way IFRS 16 works, part of the concession payments are now reported as cash flow from financial activities by adding lease payments as shown in the table on the right, we have a very good view on the cash generation by operation. The beauty about our adjusted operating cash flow it is a good proxy to the former EBITDA. We will see that also later when we're talking about the financial covenants. Then finally on Slide 25, we have the equity free cash flow. Here we have no changes as IFRS 16 has no impact on it. This concludes the KPI that we'll be using going forward. Let's then move on to Slide 26. IFRS 16 also resulted in a change in our covenants calculation. Adjusted operating cash flow replaces EBITDA as a denominator. Net debt continues to be defined the old way i.e. not considering these liabilities. With the new calculation the covenant increased slightly which is reflected on the bottom right chart. We therefore increased the threshold from four times to 4.5 times to maintain the headroom under the covenant. Again, this is purely due to the calculation and does not reflect the change in risk profile of the company. So that was a quick introduction of IFRS 16 and our KPIs. As you know, tomorrow we will be holding our Capital Markets Day in Zurich when I will go through that in more details. If you're not able to attend event the presentation will be available and feel free to reach to the IR teams to schedule a call. The team is delighted to answer any questions you may have to IFRS 16, the new KPIs and obviously also to the other questions or comments you may have. Let's move now directly to Slide 28 to discuss the Q1 financials. Julián already commented on organic growth, so let me just emphasize two messages here. First, we're pleased with the continued improvement of organic growth in the first quarter despite the shift of Easter to April this year. Secondly, that we achieved this despite the challenging conditions in South America. Looking at the currencies challenging environment and some of the key currencies especially due to the Argentinean Pesos and Brazilian Real. On Slide 29 we have the FX impact on turnover. We had a positive FX impact in the first quarter a result of the strengthening of the US Dollar versus the Swiss Franc as you can see on the bottom left chart. The impact would have been more positive, if it wasn't for the Euro and Pound Sterling going in the other direction. Let's now move to the income statement on Slide 30. Okay so there are number of things to understand in this slide. Let me walk you through that step-by-step. The first element I want to focus is the second last column called “Comparable”. This is very important because given we have no restated 2018 figures the Q1, 2018 reported and Q1, 2019 reported are not directly comparable for the most part. For this reason, we have pro forma adjusted Q1, 2018 in order to provide you with a better comparison with Q1, 2019. The adjustments provide you with an indication of the magnitude of IFRS 16 would have on Q1, 2018. Again it's important to keep in mind it's just a pro forma calculation. Before going into details on the P&L, let me repeat again. The best way to measure the performance of the company for the first quarter is to look at the cash flow. Having said this, we can now go into the most important changes. I will use the reference we have in the last column called “Note” to guide you through. Note 1, this reflects one of the biggest changes only concessions or part of concessions which are not capitalized are shown here as expense in Q1, 2019 and Q1, 2018 pro forma. On top as we're bridging [ph] from the former selling expense line some expenses not related to concessions like credit card fees or packaging etc. were moved to the line called “Other Expenses.”Moving to Note 2, other expenses has only small impact from IFRS 16. The biggest impact in the line is from reclassification. On top of the portion that came from selling expenses the former other operational result line is reflected here. Note 3, here we show the new account depreciation of Right of Use. Note 4, this reflects the new interest charge on the Lease Liability. Finally Note 5 and 6 are the consequence of all the items above in both taxes and minorities. Moving onto Slide 31, let's focus now on the two income statement KPIs we'll use going forward to measure the performance of the business. As I already explained the concept before, let me go directly to the analysis. As you can see in the top table, adjusted operating profit reached CHF 46 million from CHF 80 million the year before, so again Q1, 2018 is just as an indicative pro forma calculation so take it as a pinch of salt. On the positive side, gross profit expanded by CHF 45.7 million as a combination of turnover growth and gross margin expansions. On the other hand, personal expenses increased by close to CHF 23 million most of the changes can be attributable to our North American business where we see from the increase in minimum wages and additionally this quarter, a one-off expense related to changes in the management stream. Expenses also increased lease expenses and depreciation of Right of Use, as explained before these two lines will vary dynamically going forward as a result of new contracts and renewals. Moving to the table below, where we show the adjusted net profit and the adjusted earnings per share here we have most of the items relatively in line with last year, so I will not comment on those. The only point I would like to highlight is the accretive effect of the share buyback program executed last year. We go now to Slide 32, where we have the summary of the cash flow. Let me repeat once more because it's really important. Going forward, the cash flow is the best way to measure the performance of the business. Besides the main KPI you see on top, it is important to remind you about the seasonality of the business. Adjusted operating cash flow is very seasonable. Always Q1 being the lower point. This seasonality is also reflected in the equity cash flow with Q1 and Q4 typically being negative. Just to clarify once more, equity free cash flow is expected to be in the range of CHF 350 million to CHF 400 million this is also valid for this year. For the medium term, we expect equity free cash flow to grow in line with the top line. Let's move now to Slide 33, here we have our typical cash flow summary as you're use to see it in our presentation. The only difference here is the second line lease payment. As mentioned before, IFRS 16 requires us to reflect lease payments and cash flow from financing activities. But as lease payments in our case are clearly related to the operations we added back to the operating cash flow. The first big move here is cash flow, is net working capital. I will talk about that on the next slide. Next we have the income tax which was close to zero in Q1, 2019. This is result of the tax refund received in the period. If it wasn't for this income tax would have been similar to last year. All the rest is pretty much straightforward. Moving to Slide 34, on top chart we see the core net working capital evolution which is higher in Q1, 2019 compared to Q1, 2018. There are three main reasons for the change. First: the shift of Easter to April. Second: the continued [indiscernible] in South America and third: the new operations we have opened in the last few quarters. CapEx in Q1 stood at 3.1% over turnover fully in line with our guidance of 3% to 3.5% over turnover. If we now move to Slide 35. Slide 35 displays our balance sheet, in the summarized way we actually show it. The big change here as you can see is the addition of the Right of Use on the asset side and Lease Liability on the liability side. Going to Slide 36, I wanted to focus on the two chart at the bottom. As mentioned before, we have redefined our main covenant. The left chart shows the evolution of the former concept and on the right side the new one. You can see clearly, that we continue to have a comfortable headroom in the new definition. If we now move to Slide 37, all remains pretty unchanged here. We remain having a well-balanced maturity profile with no maturity before 2022. Okay, this concludes my part of the presentation. Julián back to you.
Julián Díaz: Thank you Yves. I now move to the Slide 30 for conclusion and trading update. In the first quarter of 2019 we have seen a positive established by all the difficulties we have gone through in South America. We have increased organic growth by 2%. I think it is important to remark the improved of sales performance in the Spain and also the contribution of [indiscernible] activities in Hong Kong and in Australia. Performance to-date [ph] in April and considering that's only part of the Easter period has been accrued here this day the catholic [ph] part is 2.4%, that is still to be accrued during the first two weeks of May, the Orthodox Easter. But only with this what we have confirmed is that the company is accelerating the increase in organic growth 2.4%. We also would like to confirm our mid-term average organic growth guidance and between 3% and 4% and regarding the equity free cash flow. And I'm going to repeat what I said during - within the last call presentation, is in 2019 our target is to reach between CHF 350 million and CHF 400 million increasing in line with turnover of the company and also obviously depending on the circumstances but I think in terms of the target, I want to be very clear just in case there is a misunderstanding. We confirm also our current dividend policy for the year 2019. This completes our presentation and we can move on to the Q&A session.
Operator: The first question comes from Jörn Iffert from UBS. Please go ahead.
Jörn Iffert: The first one would be please on the gross profit margin expansion which was healthy for the quarter and it seems maturity of this is coming from North America. Can you help us to better understand gross profit margin trends in the other regions? Second question would be please on the category sales, you have a good boast in tobacco line and confectionary but cosmetics for example was down, is there a change in structural change or it's just a snapshot for the quarter and this will yes, change the next couple of quarters again, this will also be helpful to understand. And then please and the last question on the concession fees again up, if it take correctly around 131 [ph] 40 basis points even adjusting for the new accounting year-over-year. Is this annualizing then in Q3 once a new contract is annualized or shall we get used to higher concession fee increase over cycle versus firm guidance of 20 to 30 basis points. Many thanks.
Julián Díaz: Thank you very much for the question Jörn. This is Julián speaking. Regarding the gross profit margin as in North America obviously during this quarter performed very well. But all the divisions performed well, except one and we are expecting that during 2019 again we're going to see an increase of gross profit margin in most of the divisions. The reasons are as I mentioned before the continued activities started with the balance especially in the brand plans. The increase of advertising or compensations regarding disclosure of the brands and also the negotiation processes with the local brands. As you know, I mentioned that still we have not developed this part of the development of the gross profit margin. Regarding the category mix, is just a mix depending obviously on the circumstances because some of the operations that we have started during the last quarter of 2018 are performing better in other categories especially liquor and tobacco and the mix now, it's changing a bit but the performance in terms of 2019 I don't think that perfume and cosmetics will be impacted in the negative side. And finally, the concession fees that you may calculate but is very difficult because there are also in the depreciation line, is as you know is a discounted cash flow of the max. the reality is that it has been as always announced it we are expecting this year between 20 and 30 basis points in the full year of increasing the line of concession fees and is probably a bit deeper the result here because the lowest quarter and the new operations start, but when the new operations will be normalized in 12 months I think the 20, 30 basis points is a good reference in terms of growth of concession fees in 2019.
Jörn Iffert: Thanks very much and if I may, quickly a short follow-up just to clarify. On the cash flow you have the tax present from Spain and free cash flow was down as just to tax present maybe CHF 40 million, CHF 50 million versus Q1, 2018. I assume this is only coming from Eastern predominantly that Easter there is a time shift or any structure things that we need to consider.
Yves Gerster: So this one-off tax payment, no that's a one-off event. So it's basically related to a tax payment we have done in earlier year, if I remember correctly two, three years ago and that's basically the refund because our tax has been paid in excess of what is actually required, but we knew that this is coming at some point.
Jörn Iffert: But as the cash flow was weaker, year-over-year in Q1 this has to do with the Easter timing I assume and as far as capital movements?
Julián Díaz: Well the Easter plays an effect, yes. As I've stated before the net working capital was partially effected by that and obviously also some other effect, that's correct.
Jörn Iffert: Thank you.
Operator: The next question comes from Jon Cox, Kepler Cheuvreux. Please go ahead sir.
Jon Cox: It is quite good to see organic sales accelerating and obviously gross margin gains coming through, but of course a couple of buts. On the adjusted operating profit margin for the year compared to what you've given us now for 2018 i.e. the CHF 738 million on the revenue for the year, should we assume that margin and then it will be flat obviously was down in Q1 amidst that concession fee inflation and other bits and pieces going on. So the first question is that margin everybody is going to move looking at the adjusted EBITDA margin I'm sure should we expect a flat margin year-on-year compared to that CHF 738 million we see on Slide 22. Second question, I'm going to ask the same about the adjusted EPS. Now you've given us the CHF 7.50 figure for post IFRS 16 adjusted for 2018 holding all other things equal. I guess we should assume that will go up this year at least in line with revenue if you have a flat margin at the adjusted operating profit level, that's a second question. Third one, just on Latin America, I seem to remember you saying in Q4 that Brazil was showing signs of improvement today you seem to be saying no Brazil was going backwards again Brazil and Argentina is still struggling. Just wondering if you could give us a bit more granularity on that because obviously Brazil is an important market for you. And then I'm going to finish off if I can with the free cash flow question. Basically as you Jörn said is a CHF 50 million deficit more or less in the - in Q1. You seem to be still saying 350 to 400, a couple of - can I get some clarification? Some people they seem to think you're giving guidance of one of your equity free cash flow was last year plus your sales growth. I seem to remember you saying it was going to be between CHF 350 million and CHF 400 million. I'm wondering if you can just give us guidance on that and then as part of that, are you relatively confident that equity free cash flow will be higher this year than it was last year? So a lot of questions, I'm very sorry obviously it is all new for us with this IFRS 16, but that would be very useful if you can just clarify those points. Thanks again.
Yves Gerster: So let's start with the first one, thank you very much for your questions. On the adjusted operating profit, there what you can assume is flattish performance during the year 2019 so it's basically similar to what we've commented before in the past.
Jon Cox: I'm sorry that's margin or absolute, you're talking about margin I guess?
Yves Gerster: I'm talking about margin, yes.
Jon Cox: Yes. Great.
Yves Gerster: Then to your last question, first on the equity free cash flow there our guidance for the medium terms remains the same. We're talking about for this year CHF 350 million to CHF 400 million of equity free cash flow and we expect is to grow in line with the top line going forward, so it's nothing changed to what we've stated before.
Jon Cox: Okay and then on that free cash flow. Obviously just to come back to Jörn's question. You're CHF 50 million light in Q1, 2019 almost if you exclude that one-off from Spain repayment etc. are you confident that equity free cash flow this year will be higher than it was last year or you're saying no, no we want to strictly say between CHF 350 million and CHF 400 million that's the guidance.
Yves Gerster: Yes, so that's the guidance. So we'll stick to that. I'm not saying it's higher or lower. It's between 350 and 400 and cash flow statement of Q1 is not changing my expectation in that respect.
Jon Cox: Okay.
Operator: The next question from the line of Paul Bonnet, Bank of America. Please go ahead sir.
Julián Díaz: Just a moment, here. The question regarding Latin America performance. Jon at the time that we held the last conference call Brazil so you know it's light and I said, this [indiscernible] is light improvement in terms of sales. During the quarter, it's actually [indiscernible] than the previous quarter both Argentina and Brazil are performing at the same level than during the last quarter 2018. What I have seen again in May and I don't want to comment on the - very strongly about it because maybe in the future you will tell me about Brazil again, that Brazil is improving again compared with the first quarter performance and this is something that is happening during the last two or three weeks.
Jon Cox: Thanks.
Julián Díaz: Next question?
Paul Bonnet: Can I ask my question?
Julián Díaz: Yes, please go ahead.
Paul Bonnet: I've a couple of my questions on my side. So I know you've done the pro forma numbers and everything, but my question would be on the margins. So obviously the questions on the concession fee increase has been asked but if I just put everything into brief summary calculation I see EBITDA margins down around 140 bps year-on-year and even if I was to look just because of the 70 bps [indiscernible] increase first 132 and then 40 increase in concession fee based on the pro forma numbers and the 40 bps increase in gross margin obviously and this is also reflected in the adjusted operating proceed coming down almost 40% year-on-year. Would you still guide towards flattish margins for the full year? Is my first question. Then the second question is, in terms of the current trading you mentioned that when our 2.4% organic growth in April, which is an improvement. But I went back to the call transcripts of last year and you were saying that Easter has generally a positive 70 to 80 bps impact. So because Easter fell in April this year, is it actually on a comparable basis almost a slowdown versus last year, is the second question or at least not an acceleration. And then I would say as well. I've noticed that your order [ph] financial income has increased by CHF 13 million and what's the driver of that? And then maybe finally on INIs [ph] if you can give us an update because I've seen that [indiscernible] maybe breakdown the contracts more or something, so if you could give us an update on that based on what they said on the earnings call, very much appreciated. Thank you so much.
Yves Gerster: So on the pro forma calculation, you mentioned at the beginning your first question actually so look as mentioned before concession fees and EBITDA it's actually gone as a concept. So we're not looking at that anymore, the adjusted operating profit again I expect a flattish development in respect to margin over the course of 2019. Then let me quickly do the last question first because before I hand over to Julián for the second one, other financial income this you need to look at basically net. So you need to look at the income and the expenses net. There are number of interest optimizations we're doing which result in an interest income but if you look at the figure net, then you get a pretty good understanding of our financing cost.
Julián Díaz: From my side, Paul. Regarding the Easter period that have obviously comment on that is, the complete Catholic Easter was performing - including this was performing 2.4% at the level of organic growth. Easter still means that due to the seasonality, one important part of the Easter period that is the Orthodox Easter that happened during the first days of May. As a consequence what you're seeing there is not the full effect of the Easter period for [indiscernible] it's only the catholic part. Imagine for one moment that we're talking Russia, we're talking about Greece, we're talking about Turkey there. A specific destinations and the regions impacted by these shift. But in any case, the 2.4% is included an important part of the Easter period. Regarding INI [ph] I don't know exactly what obviously their intentions are, but I know one thing for sure they are today developing with us, as I mentioned before five test in order to understand. If there's a new business model after seven years of contract of course the business model has to be changed. In order to drive more sales and as a consequence income for the April obviously better profitability for duty-free. And the only thing I can say is the test already started in beginning of the year, in my view are very successful and I think part of what is happening in the Spanish performance is due to these specific test and I hope that during the next month the test will be complete and we will be both part in the position to negotiate possible extension or a possible new relationship. I don't want to guess on what is the next step. The reality is that, today we have a contract that will be terminated in October 2020. The second fact is, we're developing a project for understanding there's a different way of operating the [indiscernible] that we're planning seven years ago. And the second one is, I know that INI [ph] is very willing to understand new formulas of collaboration with Dufry. I think that those are the facts. The rest is, there are intentions to do and a split of the concessions is something that in my view, with Dufry it has not been under table.
Paul Bonnet: Understood, maybe just one very quick follow-up question on that. on the earnings call, I think the CEO of INI [ph] mentioned that in terms of profit, in terms of estimated EBITDA of those contracts between CHF 30 million and CHF 50 million from the by - but I would say in terms of earning the CEO of INI [ph] seem to be saying that you are positive. Can you give us a magnitude of the earnings that you make in Spain just so we know what is that risk or not?
Julián Díaz: Historically I've been repeating one thing. We are in the concession business. In each locations extra [ph] concession and the improvement in your case is we have improvements in the Spain. We have obviously the advantage of knowing the business and performing obviously the best way possible. If I disclose specific about concession then any competitor if there is a tender will be able to compete with this. For this reason, we don't disclose any specific or any concession worldwide. These are competition issue, not a financial issue. This is a competition issue. I'm not going to create a competitive advantage to all the competitors if there is a tender.
Paul Bonnet: I completely understand. Okay, fair fine. Completely understood. Thank you so much. Thank you for your answers.
Operator: We have now a question from the line of Daria Fomina, Goldman Sachs. Please go ahead.
Daria Fomina: I actually have two follow ups in the questions that were asked before, I'm sorry if I'm being slow here. So the first question is on the concession fees. So you've mentioned that I just saw the new accounting they're going to come down in the second half of the year after the new contract wins annualized back to the 20 to 30 basis points growth year-on-year, does that imply the actual full year growth will be stronger than that because clearly the first quarter is higher. And then my second question is, the question that was just asked on Easter. My impression from the same conference call last year was that, the Easter impact is bigger. Can you just clarify and say, what was the contribution this Catholic Easter in April data and also on the Russian Easter and because as Russia person that is not a public holiday, so I would assume that most of Easter benefit actually comes from the Catholic side of it while you have a seasonally over strong May in Russia as it's a week off in the region. If you answer those two questions, that will be very helpful.
Julián Díaz: I'll repeat probably something that I already explained, but it doesn't matter. Let me try again, is with the concession fees the question was about more than the underlying concession fees because what you're seeing in the P&L is obviously a combination between the lease payments and the depreciation of the discounted cash flow obviously [indiscernible]. What I said is, concession fees as we'll repeat in the past will increase between 20 and 30 basis points per year. The impact during the first quarter is higher because the quarter is lower and there are new operations and I mentioned the operations that we have opened during the last quarter of 2018 that are impacting more in the lowest quarter than in the highest quarter. basically sign of these contract is started to operate during October, November last year what I said is, when these contract will be annualized in terms of compare in the performance this 20, 30 basis points are still valid but I'm talking about underlying concession fees. Regarding the Easter period, in general Easter represent between 60 and 100 basis points of increase compared with a similar, obviously with the previous year. In this case is 40 basis points because still there is - the possibility and I haven't seen the total numbers regarding the Orthodox carnival that another increase due to the Easter period will be accrued in May and not in April that is the information I have provided. But are in the still in the same thing. When Easter happens is between 50 and 100 basis points of increase compared with the previous year, this is normally the formula. This year I've commented 40 basis points and in the next call, we'll talk obviously about May and June.
Daria Fomina: That's very clear. Thank you. Thank you so much.
Operator: The next question comes from the line of Rebecca McClellan, Santander. Please go ahead madam.
Rebecca McClellan: I've got three questions please Julián and Yves. And firstly, can you just talk about your views on the minimum wage pressures in the US when they're potentially going to annualize or if you see that the pressure going through 2019. My second question is on, currently the space that is contributing quite nicely to organic growth. My understanding was that, was largely coming from cruise and MTR and is it fair to say that the lower - with terms of lower margin businesses are at the state in the last five calls. And then my third question is just about - the time you spend per passenger in North America. So I think you mentioned that you were still seeing some weakness there, could you sort of comment please?
Julián Díaz: Thanks for the questions, Rebecca. Regarding the first question on the minimum wage. We have seen these increase of minimum wages along 2018 and especially during the second part of 2018 and I think to reassure that we will understand the annualization will be starting in June 2019. Regarding the new space most of the newer space, not most and important part of the newer space is due to the cruise business and MTR but also we have obviously important new shops in St. Petersburg and also in Perth, is true that. And I mentioned that, the margins in the cruise business and the MTR business are lower than the average in the company. This is something that I already explained in the past. The only thing to add to this explanation is the returns due to the type of business we're talking about are very similar compared with the April retail environment. Regarding the spend per passenger in South America still is impacted. I think the problem in Argentina is different than the problem in Brazil. They say the problem for Argentineans is different than the problem for Brazilians. In terms of the problem for Argentineans is the huge devaluation that happened compared with the Argentinean Pesos last year and this is impacting the operations not only in Argentina also in Brazil because an important part of the customers even that the number one customer in Brazil are Brazilians, the number two are Argentineans and a service that is impacting because the precision of price as you know we nominate the prices in US Dollar. What is happening with the spend per passenger? In both cases still is weak and still we have an issue regarding the impact of Argentineans and Brazilians in all the operations worldwide where we have these types of customers. My feeling looking at what is happening and I mentioned this before, is that the Brazilian case will be faster in terms of recovery and that we're going to see from now on and I hope that, is not going to turn around again. And is light and positive increase during the next month especially during July and August that are also good morning in Brazil. Regarding Argentina, I don't think that in 2019 we're going to see a recovery in Argentina but obviously the comparable will be better as soon as obviously the devaluation last year is comparable with the devaluation this year that will happen again from July, August probably. The most obviously weigh, but the best way of explaining is that, in Argentina last year during the last quarter we have a significant hit because the devaluation started in September. Gradually we're going to see probably a recovery but it's because the comparable is going to be better.
Rebecca McClellan: Okay, thank you and I'm sorry. Also could you just comment on time you spent the passenger in North America, working in particular you made a comment about Canada?
Julián Díaz: The subject that was mentioned in the press release is regarding the Chinese passengers in North America. The Chinese passengers especially in Canada have been changing from the profile point of view. I think the evolution of the Chinese traveling is going to be significant because by 2020, it is expected up to 100 million Chinese will travel and the profile, the average profile of these passengers is not the same than in the past where we used to see only high-level Chinese passengers traveling buying whiskey bottles of EUR30,000 or Cognac bottles of $25,000 - not we have more I wouldn't say mathematical but still the spend per passengers with Chinese is higher than with any other different nationality. But in 2019, what we have seen in Canada especially is the increase of this different profile Chinese passengers and the main subject regarding the dropping spend per passenger in North America is in duty - free and talking about duty - free is Chinese passengers and the main reason is change of profile.
Rebecca McClellan: Thank you, Julián.
Operator: The next question comes from the line of Edouard Aubin from Morgan Stanley. Please go ahead sir.
Edouard Aubin: So I've two questions, one on the Thailand and another one, sorry to come back on the sales growth. But if we look at Thailand I think the price is reporting that you guys are bidding for Bangkok Airport which is very big airport. So if you could confirm that's the case and then who you might be partnering with and regarding Thailand, obviously you have upside and downside. But we had example in the past, in Asia due to the very competitive nature of this bidding process of some of your competitors in carrying losses. So assuring the bidding, can you please reassure us that the terms could be structured positively, if possible? And just on the sales growth, I mean you've been in this business for many, many years. If we step back and I look at your like-for-like sales growth which has been basically negative for the past three or four quarters. I understand obviously there's some impact of LATAM. But structurally has the price gap between duty - free retail and high street retail not now or now to serve to such an extent that the attractiveness of the duty - free is no longer very significant for passengers. I'm just wondering if that might not be a structural issue for the industry and the lack of course given that the world economy has been relatively strong over the past few quarters.
Julián Díaz: Thank you. Regarding Thailand we have not decided yet, we're going to present a proposal, we're evaluating the project and the only thing I can say is whatever proposal we're going to present if any, it will be with one thing that I think Dufry has been welcomed in the past, is financial decision. I think Thailand is a very important market and we're considering as an strategic move participating in this standard, but it's not decided yet and need to obviously - will depend on the final conclusion with our partners. I cannot disclose the partners because we have our confidentiality agreement where we're not allowed to disclose the partner until the presentation of the tender documentation. Regarding the sales growth, I think it's a very important question. The like-for-like you've seen is a like-for-like that is impacted by one specific region in the past where South America and Spain and this year is only South America. What is the subject with like-for-like? Like-for-like is a way to express the same square meter sales compared one year to the other year. The impact due to the like-for-like drop in South America is significant and I can't tell you the number excluding the South America business like-for-like in the company increased during the first quarter 2019 by 2%. I think the business is still in a very good position. I'm talking about travel retail in order to compete with other types of channels. For example and you know the information. There are two channels today that are forecasted as the winners in the evolution of the travel retail and then when the evolution of the retail. One is online retail that's from today to the year 2021 is expected to growth, to reach 10% of total retail sales worldwide around 16% and the second one is travel retail, that is 6.7%. What is the positioning? And I think this is also very relevant. Regarding the pricing policy. Pricing is very important subject in travel retail. Probably you know, m1nd-set is an independent institution and company - disclosure very specific information about this subject. Today pricing and pricing sensitivity is the number four issue when travel retail is welcoming customers in the shop. Number one, is the validity of the brands. Number two is the service. Number three is the opportunity to experience and to have experience in the shops and number four is pricing or relating with pricing. This is public information you can check it. In my view, we are in a huge position - in a very good position in order to compete with any high street [ph] pricing development and the like-for-like as I mentioned you, excluding South America is confirming that. The travel retail is facilitating the customers to experience to find the best brands and also to find the most suitable prices because as you know the prices in each location are nominated based in the country of origin of the passengers. In order to facilitate the like-for-like growth and I'm not convinced because this is - you cannot guess what is going to happen with this type of evolution. But I think travel retail will report positive like-for-like in the future due to this competitive advantage. This is my opinion. Regarding in duty - free and duty - paid prices are narrowing compared with previous years or previous obviously times. Yes, it's true. I think I may agree with that because the reality is that especially the currency volatility and the currency fluctuation in South America serves that, is when you compare the pricing - the savings that we have in South America one and half years ago with no high devaluation - fluctuation was around 40%, 45%. Now we're 20%, 25%. Yves will tell you [indiscernible] of the perception maybe could be understand like that but I think it still is a very good saving and I hope that as soon as the countries are recovered, the situation will also recover.
Edouard Aubin: Thanks Julián.
Operator: The next question comes from the line of Gian Werro, Mainfirst. Please go ahead.
Gian Werro: Just also a housekeeping question in relation to your net working capital increase. Which you mentioned was effected by the concessions as well as South America? But also that Easter timings, so can you mention or quantify the effect of Easter timing on the increase of net working capital, please?
Yves Gerster: Well we cannot quantify that, but look I mean it's obvious that due to the Easter which is just like starting in Q2, 2019 you can assume that there was a significant amount of goods which have been purchased towards the end of the last quarter and that obviously has an effect on the net working capital. I cannot be more specific on the magnitude of that.
Gian Werro: Okay, thank you.
Operator: We have a follow-up question from the line of Jon Cox, Kepler Cheuvreux. Please go ahead sir.
Jon Cox: And so just coming back to one of the questions, that maybe you missed. But the cash EPS adjusted for IFRS 16. I'm just wondering you would expect that to be higher this year compared to last year, it's the first question. And actually you can see there's a lot of questions about the timing of Easter and the impact. Can you give us any color on organic sales growth in the first couple of weeks of May? I know it's very, very early and it's very, very tentative. But if you could give us any - have you seen actually an increase from this 2.5% we saw in April or is it still running around the same level? Thank you.
Yves Gerster: So okay let me quickly start the cash EPS. As I looked on, as you know we cannot give any guidance on that and also not on 2019.
Julián Díaz: Jon from my side. I think what we've seen in May is a good start but I cannot give you know daily sales volume because we're going to - very complacent [ph] in the next call, you will tell me. Julián you told during the conference call that during the first days of May, I cannot do it. Jon I'm sorry. I like to explain how the things are going, but not in weekly basis.
Jon Cox: Okay, thank you and see you later.
Operator: We have a follow-up question from the line of Paul Bonnet, Bank of America Merrill Lynch. Please go ahead sir.
Paul Bonnet: The cash flow in the second quarter last year you had from pull forward or something like this, could you give us kind of your - not your expectations for the second quarter obviously it's a lot more important, can you quantify the impact of that pull forward that you had last year?
Yves Gerster: Pull forward, can you be? Paul, we didn't catch your full question probably. Can you start with your question once more, it got cut off. I think the first half got cut off.
Paul Bonnet: Of course, it's all right. Basically I think the cash flow was unexpectedly strong in the second quarter last year. I just don't know if you can remember some of the granularity and give us some details around that and what you would expect for this year?
Yves Gerster: Well I'll need to you come back to you on that. I don't remember what was the specific thing which effected Q2 last year was your mentioning, so let me review that and come back to you.
Paul Bonnet: Okay.